Chris Naprawa: Morning everyone, and welcome. It is Chris Naprawa here Chairman of Khiron Life Sciences. I’m joined by Joel Friedman and Alvaro Torres here to answer your questions and presents our Q3 results just went out on the Wire last night. Just as we get into this we will give you a bit of an update. And as always, we will answer as many questions as we can. There is a Q&A box in the bottom left side of your screen, which we will try to get every single one as always. We also remind you that we might make some forward-looking statements and we refer you to the disclaimer in the presentation for all these types of presentations. So just quickly, as we get into it here, I’m going turn it over to Alvaro and Joel. But, what we said to you in the last webcast is that Q2 had marked low watermark of the company’s history. And I think that is true, I think the top line was up about 15% or so quarter-on-quarter. I think you can expect something similar or better than that this quarter as well. We always have to go back and present our results, have to feed your mind back into July and August of when we are still struggling through the heat of the pandemic. But since then, we have had some very, very good results in Alvaro and Joel will share those with you. You guys also know that we did raise money in the last couple of weeks, there was a brief window open. And given COVID in uncertain times, it was just very, very prudent to take that cash and have everything that we need to grow the business over the next few years. And these are very exciting times for us. We have only been commercial for seven-months, selling cannabis in Colombia, we have learned a lot; we are getting way better at it. And that is culminated in our announcements in both Mexico and now today and [Indiscernible] with announcing a clinic opening there, you are going to see a lot more of this type of clinic visits from us. You’ve seen this operate very, very well in other jurisdictions like Florida for instance. So we have a lot of great results that we think we can see from that model. It is a very, very capital light model. And with that, I’m going to turn it over to Alvaro to give you a bit of an update.
Alvaro Torres: Thanks Chris. Hello everybody. Good morning. Thank you so much for joining us today for this webinar to discuss the Khiron’s Q3 financials, what we have been doing the last two-months. So after the Q3 end where we are today and where we are heading. So I think Q3 as we have said, we it has been both [indiscernible] for the company and all across with the pandemic and how these things effected. What I’m most proud of this, - to rebound, so we can for showing that growth back up from our Q3 which we were, I guess starting to some economies where we have had the pandemic shutdowns in Colombia. [indiscernible] demand for us back in Q2 in February of this year when we see about 9,000 patients a month in our clinic in our two clinics, then in April nearly two of the second quarter back up to 4,500 patients that we were seeing a month because of you can understand the issues regarding the pandemic and the social distancing. But I think if the team was able to go back all the way from 4,500 more than 9,000 patient services by September 30th, that shows there the [indiscernible] and shows that all the - that we took in May and June and July started to play well. And in particular what is the opening up a new clinic, Zerenia involved with that, so a wonderful 40,000 square feet clinic which is now sort of the anchor of the strategy for the company, the limitations of telehealth which now accounts for almost 15% of all our consumers. And that allowed us to go back to our client business companies, and start talking about how can we cool it down from that shutdown in April. I think the result that you are seeing on Q3 on that - revenue line on the clinic business just started to show that we were able to recover from that. From what we had down in the October, November, we are expecting additional build on the clinic business and this is all during the pandemic level and we are seeing 9,000 patients in Colombia. I think it is very important for me to point that out, because in the end, these things will eventually end, normality will return and I think they are clearly what position us today to keep growing our business. So I will turn back now on the difficulty of it was also how proud I’m that we are going to see that how we are available receive - and we are able to implement telehealth and we were able to start, again, seeing the number of patients that that we were looking for know that we have had before the pandemic. But in phase two that we also build this clinic under telehealth we could double the capacity of the company and increase our views and that we have thought. So, of course now from now on now, even then the pandemic how do we expand our services, how do we keep in terms the insurance companies, how do we keep increasing the funnel of patients that are coming to our clinic. I think the results you know less the exchange rate impact more than 20% growth. And that is now for me continued situations something that we recommend the fact that we are also now really seeing that that worse quarter that pandemic we can sort of put behind us, of course, with these things you never know when the vaccine will arrive. And [indiscernible] we have been able to do either the worst crisis or the worst pandemic crises and low. I think that that is very important for us because that shows that we have to [indiscernible]. So from that point, going to our second line which is the I would say the most interesting part of what we can see, they have the switches. And I know it sound like a small number $110,000, but I want to point out couple of patients, one is we purposely told, we spoke about how our strategy is based upon the clinics, how we look at what is happening in Florida, what is happening in the U.S., that vertical integration and we allow to do most countries; how there is going to be [indiscernible] to be able to have a dominant position. Not only in terms of potential competition and - on patients, but also on our ability to sell this product and gain a much larger margins than [indiscernible] selling outside. We are seeing that if you look at the financials on what the gross margins would be strong as ours. And we don’t talk about those gross margins because we are not here to sell [borrows] (Ph) , we are here to sell services. And for any of you who may be Colombian and maybe just call and have been able to access [indiscernible] you will see that always talk about these access. When you think about a company that worry so much about having the right data access on the right platforms, how we see it or we make it for a patient that needs cannabis to - that is what we have been doing on Q3. we saw sales and margin, and this year, the day before the pandemic or the shutdowns in Colombia as you know I’m not a man of excuses. So, we started looking at how do we improve, how do we grow, given what is happening here. And I think we have shown over 450% over the quarter-on-quarter, we can notice also the number on - the number to-date but depending on what is happening in the future and [indiscernible] two things. first of all, this is more I think the communication that people need, being - reach a goal my team reported to - we sold, for most efficient trial that we have been running at clinics with more than 400 patients and to see that after three-months of treatment, more than 90% of the patients are feeling significant, improving primary condition, that tells me that we are on the right track, we are doing the right product, that we are asking the right questions and that we are trading the right -. We though it is actually going to be March, we had our five doctors who were writing prescriptions today we have more than 25 doctors [indiscernible]. We have doctors who are writing more than 20 to 25 prescriptions a day we are [indiscernible] really want to do. And so we have been working on these days how do we keep improving the knowledge of our doctors and [indiscernible]. And I think that Q3 shows us that, because we have patients, that more patient coming in 14-weeks. And now it will be just a matter of time before we can get a [indiscernible] and that is growth is going to be based on the fact that we are growing patients, we have to focus a lot on how many more services we can offer for insurance companies to keep extending those patients. We have to think about how many doctors are prescribing, how do we improve [indiscernible] prescription base. But when we start to see internally how our own doctors are reviewing the efficacy [indiscernible] and believing this more and more we do see this normal effect of what has happened and then we start seeing with word of mouth and how can we open [indiscernible] developing that next week managing which is the four million people in our community, and the reason we are doing that is because we are seeing that more than 25% of our patients today are coming from outside. So there is an opportunity. We do have a framework which for making sure that we improve the quality of life of people and if we keep growing at 10% on these subscriptions every month in the last two years we would be more 35 prescription to 45 prescription a month and then how do we [indiscernible] and these strategy will be the integration the clinic is very unique company is with business in this region that has started out that way. And you know I think that, the more we see going through this ultimately like United States companies have - four years and extremely successful now. We established six months ago the strategy that allows us to - patients and I think that is bearing fruit. So, we are going to see again growth this quarter on cannabis - we are going to see how we are going to grow [indiscernible] and that gets us very excited. When you look at the [indiscernible] division a couple of months ago, we saw how difficult it was and how difficult it was for new products and we have been working on that three-months and next three to position ourselves to be - we have been approved so that the pandemic and shutdown stop we can get ready to launch, [indiscernible] we have growth capacity in Hong Kong, the Spain, the European Union just approved CBD products and products but demand are [indiscernible] We have the growth in State but we are also in the mode of wait-and-see because I think it is something we cannot be [indiscernible] get more volumes. So, we will see the reactivation of it in the second half of 2021 and most likely we will be there and when those things starts to happen, I’m confident that it will and we can talk about great things about why we build and things like that. But of course, the pandemic today which is another challenges that we have been working on and the more we rely on the digital strategy, the more we rely on distribution partner to have the knowhow of the market. I think we will be able to get there. So as you can see we closed the quarter with a strong cash position we said and we have been managing our cash. We have been doing that despite what is happening. And the quarter-on-quarter growth that we see of course, is not yet at the level that we would like, but you know I think - how important it is everything that we are building and knowing that how important it is to see that those values starting to happen. We really see now the entrance of the [indiscernible] working like this more recently from [indiscernible] which is Colombia’s largest company and [indiscernible]. I think, one of the key take way to my conversation with Carlos was, where does the future of the cannabis industry is going to go. And to be honest, what I see future of this industry and this company, I am more and more saying that, we got to be patient. We have to be patient because there is plenty supply out there. There are a lot of companies that are trying to sell products and even though that is to date has price compression unlike things that we haven’t seen in while. And more we focus on that value-added patients then more value we can make and more - to our profitability will be and that conversation is going to happen and that will emerge [indiscernible] in the conference and one that we show all the confidence that we are targeting all of the selling in Peru be the [indiscernible] and the results in Peru are very good because we are selling more in Peru than in Colombia when we started, despite the fact that we don’t have activity there. That have been our [indiscernible] has announced for the rest of the region. Last week we started a new program that is very interesting for us, that is going to drive more subscription in which we are now using [indiscernible] as our agency model. So after training the [indiscernible] two days so that they can see at lease above 80 prescription to 90 prescription a day and grow. So, once we start leveraging that more definitely across the region, a lot of people are calling because the business model that we have built, the knowledge that we have built [indiscernible] is something that no, honestly, I don’t think any people have in the region. So that we have to see how we deploy the capital that we have been able to raise to grow that presence of [indiscernible]. There is more portion that we do in Colombia, I think that allows us to be very quickly being able to [indiscernible] and being able to add a lot more patients. Coupled then we are going to help and going to reduce what we want the most for efficiencies. So part of admitting working as well, this should be [indiscernible] these products. How do we make sure they are affordable for the long-term, which is very [indiscernible] sustainability. Well today we think I’m 250% confident that we will get [indiscernible]. And we have been working very hard on that, I think the main part of the strategic method project allowed us to have a conversation of the Colombian government, I’m very confident that doesn’t happen within the next you know before the end of this year and once that happens, you are going to be able to access a lot more patients. Another big mile is, you know if you don’t have to access to the patient, you don’t have the real strategy will have been the same, so everything would be working throughout the years we just have to keep doing and keep doing it better. So no, but we are going to start with the support that is coming in more often a lot of our clinics [indiscernible] issues from the pandemic that may affect us, more growth of cannabis sales in Colombia and Peru, and we are going to very well position to start showing interesting to you, once you know, each logistics and customs issues will continue that achievement. But I think they [indiscernible] is great, we have to work out issue regarding supply and logistics to get to the more patient that we want, but that those issues will be resolved very soon, this strategic step we take. But I think it was more important was this as a patient, there is demand, we have striving the lean there which is always focused on the patient and how do we [indiscernible]. And I know, I looks like that is sound like it is going to happen a long time. I think [indiscernible] because of the pandemic but we have been able to do this and growth despite the fact that back in Q2, we had 100 patients a day and now we have 9000. We don’t believe that one of these things that we have, what we can achieve without that is going to be a lot more significant. So unless we are very happy of what we did, we have been growing, saving more cash, we don’t have another [indiscernible] important you have to spend the money on - makers for continuation. We are looking forward to next year being Colombia and Peru that Brazil, Mexico [indiscernible] and if we can keep showing [indiscernible] these issues we are going to have really see a very good 2021. Of course, that we see a lot that we can work and flow but I guess my point and we will be best vision to I think here is that even despite what is happening today, we have been able to grow, and we have been able to show a prescription and now we reached more than 6,000 prescriptions and you know it is growing, it is growing on patients are very happy about it and [indiscernible] like it. And the fact that we are the only ones that haven’t been doing it just tells me that there is other relationships in the future, I think we are still in the first half of the proceeding of the [Indiscernible]. And the International medical cannabis, we saw very big opportunity. I think since [Indiscernible] people those are there. Obviously, we have products worth it. This is all about speed, it is also about acceleration. And so that is acceleration is a matter when the country allow to export. How do we bring that levers to other countries? How do we coordinate those markets? How do we make great margins? I’m thinking I’m not saying that 90% of those margins are sustainable all of that. But certainly, the way we looked at taking the value to the product vacation, I think that is where the focus is going to be. So we have reduced it to the compares to 2018, we have to reduce our loss we have to reduce our loss in [Indiscernible]. Our sales came in were not as good as we expect that we have last year. I think that is understandable to see of condition we are leaving right now in the pandemic. And I’m more interested in seeing how that flow is happening and we are looking back and say well, yes we dropped our revenue. But with the big happened in the country and what happening worldwide, there is not a lot of these are [Indiscernible] are still surviving. And we are in a position we are actually going. And obviously we are excited about this conversation. It is not only that, we said this is what we wanted to do. When I started talking few years ago I said, we wanted to be a company focused on patients. We are going to take vertical integration, then that is what the patient are going to come, and that is exactly what we are doing today. We have seen what is growing it, increasing the of [Indiscernible] increasing the physical presence of the [Indiscernible] increasing physical classes of the clinic, try to expand this measure as possible, we see this more affordable. And we will continue to see to growing patients. And the fact that we are actually selling a product that works, many people focused on that. I think everything we are building the fact that we actually have a product that works. But we spend our capital to have actually not only to focus [Indiscernible] and we feel great about it. And that is type of data that nobody here in Colombia and Mexico that seen has today. How do we leverage that data so that we can grow? I think that the biggest challenge that we have as a company. I still said when model were [Indiscernible] time, that is something what we are looking for as market conditions were there. And I think the situations of uncertainty, I think, the money demand to be able to execute and go, and whenever you see behind the children, seeing how many months have left. And that is always the question surrounding everybody it seems because again, demand is going down worldwide and economic damages or things are happening, and we don’t know what is going to happen. But we have been able to do is in the near or worst time of the pandemic and there [Indiscernible] continue to grow it. And it doesn’t take much [Indiscernible] or Colombia, but we are still entering in Brazil. And we are already starting in Peru. And we still be in Mexico. And we are coming to this place. And it is also very nice. Because in the end there is only one cannabis field in Colombia that has this type of data and numbers that we have. So that being said.
Chris Naprawa: Just let’s take a time. Because some of these are going to questions that are going to come up here anyways, I think just before we answer questions, can we just go to the Joel quickly, just a highlight on the financials.
Joel Friedman: Thank you, Chris. And thank you, Alvaro. I think Chris’s commented have talked about a lot of themes. And I’m going to focus on key financial highlights from our Q3 results. When we look at cash, cash use in the third quarter was about 5.5 million compared to Q2, this represented increase as a result of the activities throughout the company, increasing from the low level of experience due to the COVID-19 impact. We finished the quarter with $14.7 million in cash that was driven up with the help of our continued cost containment measures in line with Q2, and subsequent to the quarter end was noted we closed the financing for gross proceeds of 14.5 million. This significantly increases our cash resources and positions the company to better manage both new growth opportunities and any additional potential impact of COVID-19 and we proceed into 2021. Another contributing factor to this lower levels of cash burn was the limited CapEx as the significant capital behind us. Looking at our revenues, revenues in Q3 increased about 15% from Q2 to 1.9 million, claim services increased from the low level experienced in Q2, while medical cannabis continued to accelerate in Colombia with monthly growth in prescriptions. And revenues for medical cannabis in Colombia are expected to continue increasing as these descriptions of progress and with the contributions from the partnerships with the clinics and health centers that was entered into in September. Additionally in the third quarter, medical cannabis revenues started in the UK and Peru. And the revenues for medical cannabis are expected to continue to grow period-over-period going forward as they progress similar to Colombia. The net loss of 6.3 million in Q3 compared with 5.7 million in Q2, and the activities across the company ramped up from the second quarter. Compared to the prior year period, net losses have decreased 37% and 23% quarter-to-date and year-to-date respectively. On a regular basis, in Q3 2020, we had a loss of 1.7 million, compared to a loss of 5.4 million in Q3 2019. On a year-to-date basis, the loss decreased to 14.4 million compared to 18.2 million year-to-date 2019. The financial effects from COVID-19 including reduced revenues from our health centers, as our combination of reduced patient visits, and safety of our patients and reduce injuries impacted these revenue numbers year-over-year, resulting the EBITDA combined with the devaluation of the Colombian peso. As mentioned, there is emergent on the clinic services are declined compared to prior periods as a result of the ramp up in activity levels while managing the impact of COVID-19 on the operations as claimed revenues that we saw in late Q3 continued progress faster steady state levels, pre-pandemic we expect these margins will continue to come back. Chris, I will hand it back to you and we can move into the Q&A.
A - Chris Naprawa: Thanks, guys. I appreciate that. So there is two or three questions. I’m just going to try to group these together for time sake. There is two or three questions around UK supply chain and 2021 specifically. So what I want to tell you guys is there are some teething pains with that program, but it is working, just so everyone understands like the prescriptions have to be written before we could bring the supply in, we are not allowed to stockpile to the extent that we would in a normal kind of situation like we would at our own clinics, maybe that situation will change or that that particular set of rules will change. There is a little bit more red tape than I think a mature market would like to have. But we are overcoming that and patients are getting are getting medicine. It is just harder for new people. But the good news is there is that there is tremendous demand and it is a brand new program, we were the first ones to get [indiscernible] into that program. And when you are first you always have to kind of deal with the kinks in the road. And that is, that is true for everything across the board. There is two or three questions around the financing. And I will take that one. And then I will turn the questions over to these guys. But listen, guys, what we said to everybody has that we had the working capital necessary to execute our plan. And that is the case, as you saw that we finished with just under $15 million, and still with no debt on the books and owning all our own assets. So, we had the ability to lever up. The question was, A, what is the impact of COVID we are going to be in the next couple of quarters? which nobody has the answers for no one. And two, as we work through the summer into the fall and saw the great results for the clinics and really, really getting better and better at prescribing medical cannabis, we saw the opportunity to grow the clinic network in the way that Alvaro just described. That is an excellent use of cash and we think will pay-off dividends for us in the future. So, now is the time to think about expanding, not just getting to cash flow neutral, none of us got into this business from day one. So, just to get the cash flow neutral, that is not the goal. The goal here, as always been stated is to grow. Okay, Alvaro, there is two or three questions here on Brazil, and a limp in Mexico there too. There are some Mexico questions. Just what is the quick update on Mexico and Brazil.
Alvaro Torres: Well, Mexico is the most vision us and I think we can only cope with the fact that the standard of Mexico just approve the use of cannabis and [indiscernible] hemp, of course we see the capital and I think most encouraging of all is that they actually comply with the timing that they have set an international direction of what his market is going to look like. They already polishing the regulation for medical cannabis, as we speak, I think a way that that is going to happen in a market that we have said to everybody that we are waiting to see all these regulations, because we have been talking about nations for a long time you we do have a relationship with Mexico very strong. As well, our training programs that will move the way which is the number one in Mexico. And I think everything [indiscernible] is very well taken there. And that is how we tend to enter the market. It is very hard to do more than that, and a lot more purchasing power and a great prospect. So we have been in Mexico for quite some time and we understand how the market is going to work and now we understand the regulations. You know we are a company that puts the first legal cannabis into use in Scotland, we are the first company to sell the cannabis in Peru, as a private company, we are great to be the first company to start using [indiscernible] for distribution. We do know what we are doing with the regulations. So, being first and being into break that- so I’m very excited about Mexico. I think we are going to be relying a lot on [indiscernible]. Regarding, Brazil the largest medical market in the world, in front of people. We have a strategy there that is based on building relationship with clinic and hospitals, bringing Zerenia, doctors to Colombia to be trained in Zerenia for internships. All of that is happening as we speak. We have been waiting a lot for some regulation that allow us to more logistics. There is as you know, you may now know, but as you saw the past regulation to make the products. So, we are on that path. But I think compassionate guidance in Brazil is lot of opportunities there, just so happens that the products are being sold in Brazil are coming from United States and because of the compassionate care ways, we cannot store products in the field [indiscernible] and Gulf of Mexico crossing the [indiscernible] Amazon river and getting to a patient is expenses. So, now that we have logistics and how we are going be able to do that, that big farming with companies like [indiscernible] to be able to talk about our from [indiscernible] that are going be taking that application to more than 3,000 clinics and hospitals in the South Brazil and we have our hope to distribution in Uruguay complementing our business to Zerenia and that we have been building, I think is going to be a very interesting for us starting Q1 next year. So, we are very exciting about the future of Gulf of Mexico and think right now we have been building the building foundations of what going to make our plan successful, because we are no longer talking about the theory of medical cannabis, we are actually talking about what is happening to our patients and our products. And once we start to look at and I want you to think the same type of product and the same of data all across Colombia and Mexico and Brazil that information is going to be very valuable because at the end that is what Big Pharma wants to get. And nobody wants to [indiscernible] we have to think about how much the demand we are building, what is the areas that we building in our own products, those [indiscernible]. And so that makes me feel very excited about that.
Chris Naprawa: Okay. Just couple of questions in here about clinics versus telehealth and theme of while we have also got 15 other outside clinics that we are partnering with, so why build our own. So, could we speak to the importance of telehealth continuing with our business and our own clinics versus our partners?
Alvaro Torres: Okay. This the company’s and my and company’s obsession every day. It is about how do we ensure that more people that medication have. So, we have pharmacies with the exciting and these are huge and maybe managing for new people. But that will help for that and it is important to be able to have people and patients everywhere they are. So, that is what we have been founding with [indiscernible] and the reason really have mapping our own - in managing because we are also seeing that there is unserviced need to be helped by company that cannot met by the partnering of outside clinics. And that is the reason we are doing and the more important that complement our with big locations and that also complement that we have that. We cannot estimate more than that for us to grow the business and services in this quarter, but now you will start to realize that we have a lot patients, have lot of [indiscernible] today for example, in this release there is - on both that we have a lot of patients on this platform because they want to have the ability do their schedules and appointment. But, for people who are more than 65-years, 70-years old, there have been locked down for six, seven months, they are also looking for the opportunity to leave their house to go and see a doctor. The people are now getting chances and opportunities and options through different patients, that is why we have partner with pharmacists, that is why [indiscernible]. And in that absence, I think we are going to have a little competition, because in the end, every patient that once get [indiscernible] well treated is going to have better [indiscernible] third-party clinic, whatever is best convenience. And if we don’t focus on access then will be applying for price and will be fighting for bottles, the company doesn’t fight for bottles, we fight for service. So that is what you have to, that is the way we are going to expanding and [indiscernible] we are going to compliment that we daily help so we can actually say that we could normally couldn’t, and just I know what you can do [indiscernible]. We have patients in a town called [indiscernible] for those of you who are in Colombia, Colombia [indiscernible] Colombia and the Amazon, in the Amazon jungle, in the Amazon department. If we didn’t have [indiscernible] we couldn’t reach those patients. We didn’t get the meditation within three days. And that service what people start to talking about [indiscernible]. So all of this is [indiscernible] that is moving on digital but that also wants to get out and able to [indiscernible]. So the more access we can up potentially I think the more difficult will be for patient that need guide is not to access [indiscernible]. So that is why we continue to compliment those two will be doing that in every country that we are targeting.
Chris Naprawa: Yes, I think that is a good answer to that question. Thank you. I think that also answers [David’s] (Ph) question here about how we are going to grow revenues. And it is all about now access to patients and the more patients we see the more cannabis we will prescribe. And it is all about convenience for everybody. So there is another question here about will we see medical or telehealth in the UK? And I think that is a really fair question. And I think the answer is absolutely you will see that extended in the UK. We have got doctors who are registered to practice all over the world that that now work for us and we have doctors working in Mexico prescribing in Colombia and Peru, and it is really starting to come together from that standpoint. Couple questions here on Germany. What is the update on Germany? And what is going on there?
Alvaro Torres: Well, so we have been talking about our relationship with - health and that is working very well. We, I think today, [indiscernible] we made that conscious choice, and we have been talking about rebalancing people talk about that. The German market, European market are very focused on EU GMP on dry flower, as well as high quality [indiscernible]. And we purposely decided to come up with a strategy with a third-party EU GMP supplier out of Europe, I think today we can see that it is difficult to see probably in Europe which is more difficult to further shift a lot of quaintly and parents continental and in the right time. So, we have been working with a partner in Europe that has some issues for us. So we put together the process that we needed. And today we are going through the motions of logistics, cost and regulations. And so these are the her days that we have to go through all those things, the first that we have been able to shift [indiscernible]. We have seen in Germany coming very soon, as soon as we can get out of all these logistics and costumes, and timing issues, but these are I think for me one time because once you get that done, it is easy to go. So certainly Germany we have got these start seen something in Q1 at least during [indiscernible] revenues. I think we already started training modules in Germany, taking our [Indiscernible]. We have been developing all these courses, we have the areas where we can show and [Indiscernible] it is an interesting market is growing. And there is a lot of competition there, yes, but more we can support our brand and when a company represents, our ESG values, and that is going to communicate a lot better with the patients and working with our pharma and distribution, so that we can actually have many pharmacies. And the same thing will happen in the UK. Of course in UK we have the advantage in 2021.
Chris Naprawa: Alright. So a couple of more questions here. Robert is asking about, pricing trends. I will say Robert that pricing has been stable in our regions, there has been no real movement up or down. This has been stable since we started. Then a question from Alexander about, what do you see as your economic mode and you compare that with Cresco or Trulieve. I think, if you are looking for comparables for us, it’d be more like a Colombia Care or Trulieve would be more likely that the kind of business that we are running, very much focused on clinics, and service, and accessibility. I think Trulieve started the first clinic back in 2016, and sold the first gram, and then now have 50% market share in Florida. We sold our first gram or prescriber first gram in March of this year of 2020. We have over 90% market share today in Colombia and the country of 50 million people. So we are trying to get out to those folks as much as we possibly can. We do every time, the telephones we do telehealth for opening up small satellite clinics. If that goes well, you’ll see us open up a whole lot more. And there is already a model for that. Make sure I answered all Tommy’s questions here. I think we got to you, Tommy, always thank you very much for that. Could you elaborate on some specific benefits of the client certification?
Alvaro Torres: Well, I think we will start to see that very soon what that has helped us to do. I think the biggest thing that we see today is -. I think we are the company that received the status is two things first, when these all be came into power, and there was a lot of skepticism because there were lot of requirement of demand for cannabis. I think the ups and downs today yes. Not only here but more than last [Indiscernible]. That is something you can take out these time this is important. On the product have significant quartile for these status. These are the speed, speed on what, certification some paperwork, how to export, how to out of Colombia, and how to get conversations going, that although, I cannot give you the detail, I’m going to be very significant for the company. I think I was trying to use a [Indiscernible] has only been to increase actions. Again, the work for me is always going to be access. We already seen very soon, that those conversations have an appeals because I think the Colombian government today also focus on how do we increase access, because they realize that these are strong industries, and there is two sides it. Of course there is the export, low cost export opportunity but there is also the opportunity to improve the quality of people or health and to all honestly also reduce the burden of medications in the company system, the health system. So we are going to see a lot of good thing that are going to happen to that. And the speed at which we are able to get as more approvals are going I think that is very important. And we will be seeing that in the next couple of weeks of what those conversations are going to entail. But, we have been able to export this to Peru, we are the first company ever export to Peru privately and that was part because our ability to [indiscernible] make a lot of these things much easier to handle. And that is not just for the rest of the country, so being that as the vanguard of that, and especially another results, we would be seeing that very soon.
Chris Naprawa: Alright. So the next question is about, can our production and cultivation keep up with our future growth. And I think this from Peter, just to understand that, with our current capacity, we have installed paid for capacity to make about four million units a year, I don’t know if you have a bottle in front of you there overall. But a single bottle, which is our typical format, in South America. We can make about four million of those a year, our average sale price is somewhere between Can$40 and Can$50, so that gives you an idea of what is already there. So we have got a long way to go before we are going to run out of capacity anytime soon.
Alvaro Torres: I think the demand [indiscernible], I think there is plenty of good supply in Colombia that is going to be easy double in the price, if we ever needed to add on that. So, that is not a concern that we should be added for the next couple of years.
Chris Naprawa: Yes. Next one is on insurance coverage, because we have mentioned that a couple of times. I think Alvaro said today that he is 250% sure that we are going to get insurance coverage in Colombia. That is a very high percentage of assurance but I think we have provided the market. So just stay tuned on that one. There is only - other than the German market, I don’t know of another national supported program in the world right now. If anybody’s out there correct me please, if I’m wrong about that, but that levels, the playing field, as far as economics, so in a country of this size, that was just covered by insurance. It makes much more accessible to just about anybody. And when we are working with insurance companies and regulators, we keep data on absolutely everything that goes on in hiring, we are able to show patient outcomes in aggregate and individually we can work with them and show them those outcomes. And that is the proof as far as our former prime minister here said, a proof is the proof and then we got the good proof here. Okay. Whatever revenue we expect to, okay, we are not going to talk about revenues in Mexico just yet. Okay. How do you got GMP Europe certification? And why don’t you work with a distributor in Germany? Well, we do work with a server in Germany. We work with one called Nimbus. We announced that a while back. Our facilities in Colombia are EU GMP compliant, during COVID it is really hard to get this stuff certified to new people to travel. But for now we have supply chain worked out in Europe with EU GMP supply in Europe and we have certainly the quality for Colombia. Okay. I think we got into most, Maybe any couple of closing remarks there Alvaro, as we have see if there is another one that comes in.
Alvaro Torres: Yes. Thank you Chris. I think again, the [indiscernible] company was built for and [indiscernible] I mean we see patients, I mean we talk about patients and improving the quality of life because of the [indiscernible] that shows that we are in the right path. Nobody is on those feet and we are the first one to - of our teams tremendous efforts to [indiscernible] and keep going fast. The reality is also that we have been able to deceive the worst times that most of us have seen. And we have been able to look at that and look at, okay, we are going to get going, we are not taking the switch. And I’m not a we are not a stand away from, from how to grow more in the reality that we are in the first stages of what is going to be, cannabis is not going to go away anytime soon. And we do have a very recognize brand, we are growing in the region from Mexico to Brazil for the quality of our products for the quality of our education, and other people want to work with our company. And I think all of us that we are building is starting to show potential how many discussions we are having. I will just leave you with as I said the increase in [indiscernible] everybody that the company we work on four regions of the company every day. Number one, how many doctors can we get to prescribe, what is the daily prescription for doctor and affirmation we have to take every day. Today we have to [indiscernible]. So, we have indeed showing these doctors now the evidence so that we can have a [indiscernible] believe in this and the more we believe in it, and more prescriptions we write. Second, we have to increase demand and for that we need to based on our clinics continue to convince insurance companies, clients [indiscernible] more patients, private companies offer new types services, expand our clinic base, advertising, advertise so we can have more people out of pocket. And that is what the very well, we have to continue doing that. And third is access, and when I hear this word a lot. And if you look at any press release that we have done about distribution, it is all about issuing access. I believe that a company that - we are not competing for product [indiscernible] and things like that. And of course, the things you have in the future. But if you are working in the commodity business, you are solving today, some price compression significantly, our objective is to prove that we can bring more balance. So, we don’t have to be in those conversations. If we don’t do that today, very, very hard to do this [indiscernible]. So actually very important telehealth patient prevention programs for us it is more expensive to acquire these patients and [indiscernible]. So we focus our efforts to make sure that every patient that comes to the title as much as you can, that that patient stays with the program. And that means service, that means access, that means continuously thinking about the worker of that patient and the people who take care of that patients. And fourth is about economics, when we started this program we are I think we have done a good strategy and pricing. So one of the first comments that we got were how can people afford it. And we will just talk about a couple of investors before this call. And we have been showing that people can afford. Of course, there are patients who cannot continue to pay, and this is why we have been working so far in last month six months to ensure as and when we said what we said, well, I’m very confident that we will get that done. But that is going to be done because of our continuously efforts to make sure that any patient that one treatment patients can have it. If it is not responsible want to prescribe it that patients should have and should be able to get a walk from your house and getting the pharmacy and get it should be able to get you to be able to get it home don’t show to be able to go over to their phones and fight to get there. And that decision is very unique because we are thinking about that access all the time. And so once that happens, then we will take that more. Some [indiscernible] is not going to happen overnight. But Colombia has been leading the way [indiscernible] nation. Another condition upon us. I know we always think about already and we estimate that most of the companies like in the U.S. and Canada doing this for six-years, seven-years. But we are just first time, so what is happening as you can imagine. I think we have to look at those opportunities and our companies like this can get about the negotiation and that is goal is still there for us. For me, that is attainable and we have patients in one year and we have 100,000 patients a month in five countries. So, that is when we look at the way and we keep applying this how do we state our and education that is all we can think very seasoned and we have got the sustainable goal. And there are other people that probably we think are for short-term and short-term matters, but that is also like the way we think about long-term. Today we talk about the Board and the we talk to be able to people in the company that trying to shrink. They are trying to build the company and want to grow and dominate. I think we have the right schedule. Of course, we have to adopt to COVID pandemic and this is business. But we are very predictable company and we simple introducing our cash resources and we have been able to sending money where it needs and focus that we are here to grow. We are here to get [indiscernible] going forward. That goal is still there and now we are seeing how we are going to get done. We have to get past that of course. But next year we will at least Colombia, Mexico, Brazil stay in the [indiscernible] and we are talking to four countries that have 660 million people and we are in unique position to dominate that market [indiscernible] that is a huge market and so we just need to be patient, we need to see what we are doing, we cannot get scared, we cannot be panicking we have to look on stuff, we have been doing a lot during the pandemic. We are still doing it, but we are grown and I think that shows the [indiscernible] that shows the type of the company that we have and we have been doing it efficiently which for me and for the company is extremely important. And it matters end the end to catch up. So, as much as some time we see the short [indiscernible] and about the most sustainable growth. And I thank our investors and thank you all of your patience. We look forward to report all of you as we reach out to our earnings, and thanks for the feedback. We think that is all of that is very good data and we are working very diligently to make sure - that we though. But I don’t want to lose sight of what the big price is. So, the big price is American, which is now [indiscernible] and that is because of the inflation and going forward - and it is not a market that is there, we have to go and build it. But now that we can [indiscernible] doing with Zerenia, I think a lot depends on the United States companies are showing us how they did that model, how its working and that is great. We are able to see future today. So we are just going to apply to do it our way, keep teaching vertical integration, keeping thinking about growing, keep entertain brokers,, keep grabbing patients and making sure patients today, keep improving life. And I think that objective have been there with us on day one. I think we will do that I think so. Thank you so much, everybody for all your support.
Chris Naprawa: Thanks for all of you to attend. We are going to continue to try to be transparent and communicate to those of you that have introduce some more pointed questions in there. Listen, we are working our way. This business is far better than it was last quarter and the quarter before. We are commercializing it, we are seeing it every single day, we are seeing the progress and we are building something here that is very, very durable and sustainable. So really proud of the effort that everyone has put in. Thank you all for attending today, and we will see you next quarter.
Alvaro Torres: Thank you.